Operator: Thank you for standing-by. All lines will be in a listen-only mode for today’s conference. (Operator Instructions) A copy of today’s press release is available on First American’s website at www.firstam.com/investor. Please note that the call is being recorded and will be available for replay from the company’s investor website and for a short time by dialing in 203-369-3402. We will now turn the call over to Craig Barberio, Director of Investor Relations, to make an introductory statement.
Craig Barberio: Good morning everyone, and thank you for joining us for our First Quarter 2014 Earnings Conference Call. Joining us on today’s call will be our Chief Executive Officer, Dennis Gilmore; and Mark Seaton, Executive Vice President and Chief Financial Officer. At this time, we’d like to remind listeners that management’s commentary and responses to your questions may contain forward-looking statements, such as those described on Pages 4 of today’s news release, and other statements that do not relate strictly to historical or current fact. The forward-looking statements speak only as of the date they are made and the company does not undertake to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made. Risks and uncertainties exist that may cause results to differ materially from those set forth in these forward-looking statements. Factors that could cause the anticipated results to differ from those described in these forward-looking statements are also described on Pages 4 of today’s news release. Management’s commentary contains, and responses to your questions may also contain, certain financial measures that are not presented in accordance with generally accepted accounting principles, including personnel and other operating expense ratios. The company is presenting these non-GAAP financial measures because they provide the company’s management and investors with additional insight into the operational efficiency and performance of the company relative to earlier periods and relative to the company’s competitors. The company does not intend for these non-GAAP financial measures to be a substitute for any GAAP financial information. In today’s new release that we filed, which is also available on our website www.firstam.com, the non-GAAP financial measures disclosed in management’s commentary are presented with and reconciled to the most directly comparable GAAP financial measures. Investors should use these non-GAAP financial measures only in conjunction with the comparable GAAP financial measures. With that, I’ll now turn the call over to Dennis Gilmore.
Dennis Gilmore: Good morning. I’ll begin with a review of our first quarter financial highlights followed by an update on the market outlook and then conclude with a few comments regarding our recent capital management actions. Total revenues in the first quarter were $1 billion, down 12% compared to 2013. EPS was $0.20 per share, down $0.13 from last year. The Title segment revenues in the first quarter were $925 million, down 13% compared to the same quarter last year. The Title segment’s pre-tax margin was 4.6%. We experienced a significant drop in closed orders driven by a 64% decline in closed refinance orders, and a return to normal seasonality. However the ongoing shift to higher premium commercial and purchase transactions drove our average revenue per direct title order up 39%. Our commercial business continues to show strength with revenue growth of 25% with both transaction volumes and average fee per order up over last year. In addition, our purchase revenue was up 6% driven by higher average fee per order. Given the decline in closed orders, the company continued its focus on overall expense management, including headcount reduction of over 500, excluding acquisitions closed during the quarter. Revenues in our Specialty Insurance segment grew by 7% during the quarter, driven by higher premiums in both our home warranty and property and casualty business. Our home warranty business continues its overall strong performance which contributed to the segment’s pretax margin of 16%. In terms of market outlook, April month to date purchase open orders are flat compared to last year. The spring selling season typically peaks during May and June, so during the next few months we will have a clear read on the overall strength of the market. However at this point we expect modest purchase revenue growth for the full year with the growth primarily coming from price rather than volume. 2014 will be a transition year as we continue to shift to a purchase-led market. Our long-term outlook remains positive and given our confidence in the company's future earnings and cash flow, we doubled our dividend to an annual rate of $0.96 per share. We also increased our share repurchase authorization to 250 million which we expect to deploy on an opportunistic basis over time. These actions demonstrate our long-term commitment to create value for our shareholders while maintaining a financial flexibility to execute on our growth strategies. I’d now like to turn the call over to Mark for a more detailed review of our financial results. 
Mark Seaton : Thank you, Dennis. Total revenue in the first quarter was $1 billion, down 12% compared with the first quarter of 2013. Net income was $22 million or $0.20 per diluted share compared with net income of $36 million or $0.33 per diluted share in the same quarter of last year. The current quarter results include net realized investment gains of $2.6 million and impairments of equity investments of $2.0 million which together had a negligible impact on earnings per diluted share. The first quarter of last year included net realized investment gains of $0.05 per share. In the Title Insurance and Services segment, direct premium and escrow fees were down 13% compared with last year due to lower refinance volumes which were down 64%. This decline in orders was partially offset by a 39% increase in the average revenue per order. The average revenue per order increased to $1,723 driven by the continued shift in the order mix to higher premium purchase and commercial transactions. Additionally, the average revenue per order increased 6% for purchase transactions and 19% for commercial transactions, reflecting continued growth in real estate values. Agent premiums were down 13%, reflecting the normal reporting lag in agent revenues of approximately one quarter. The agent split was 80.0% of agent premiums, unchanged from last year. Information and other revenues totaled $137 million, down 10% compared to last year, driven by lower demand for the company’s title plan information and default information products as a result of the slowdown in transaction activity. Personnel costs were $300 million, down 5% primarily due to a reduction in employee benefits and overtime. The Title segment reduced headcount by 500 in the first quarter, net of acquisitions. As a result, the company recorded $3.5 million of severance expense. Other operating expenses were $170 million, down 10% from last year due to lower production related expenses and temporary labor costs. The ratio of personnel and other operating expenses to net operating revenue was 82%. In the first quarter, the provision for title policy losses and other claims was $46 million or 6.0% of title premiums and escrow fees compared with a loss provision rate of 8.7% in the same quarter of 2013. The current quarter rate reflects an ultimate loss rate of 6.0% for the current policy year with no reserve adjustments for prior policy years. Pretax income for the Title Insurance and Services segment was $43 million in the first quarter compared with $54 million in the first quarter of 2013. Pretax margin was 4.6%, down from 6% last year primarily attributable to a decline in order volumes. Turning to the Specialty Insurance segment, total revenues were $87 million, up 7% compared with the same quarter of 2013, driven by higher premiums earned in both the home warranty and property casualty business lines. The loss ratio for the segment was 52%, an increase from the 50% experienced last year. Our home warranty business had another seasonally strong quarter which contributed to a pretax margin for the Specialty Insurance segment of 16%. Net expenses in the Corporate segment were $21 million in the first quarter, up 3% relative to the prior year. In terms of cash flow, cash used for operations was $105 million, an increase of $54 million from the first quarter of last year, driven by a reduction in operating earnings. Capital expenditures were $21 million, the majority of which are related to fixed asset purchases and capitalized software. Turning to capital management, debt on our balance sheet totaled $457 million as of March 31. Our debt consists of $249 million of senior notes, $150 million drawn on our credit facility, $37 million of trust deed notes and $21 million of other notes and obligations. Our debt to capital ratio as of March 31 was 16%. We intend to keep the $150 million outstanding on our credit facility for the foreseeable future and currently have an additional $450 million remaining on our $600 million line of credit. Last quarter we discussed movement of some of our operating subsidiaries series from being owned by our regulated insurance company to directly under the holding company. These movements helped facilitate a 100% increase to our common dividend to an annual rate of $0.96 per share which reflects our positive long-term business outlook and our confidence in the future earnings and cash flow of our business. I would now like to turn the call back over to the operator to take your questions. 
Operator: (Operator Instructions) Our first question comes from Bose George from KBW. 
Bose George – Keefe, Bruyette & Woods: When Dennis commented on the purchase volume being flat, purchase orders being flat year over year in April, does that include the default orders as well? 
Dennis Gilmore: I am sorry, Bose, did you say that did that include default orders as well?
Bose George – Keefe, Bruyette & Woods: Yes, that’s what I asked, right.
Dennis Gilmore: Yes, no, it does. It’s just that – it’s really just resale orders and new home orders, it doesn’t include the default.
Bose George – Keefe, Bruyette & Woods: Okay, just curious what the trends are in that business?
Dennis Gilmore: I am sorry, can you repeat, we have a little trouble hearing you, Bose, we’ve got a little scared [ph] kind of like, can you repeat that?
Bose George – Keefe, Bruyette & Woods: Sorry, I was just curious what the trends are in terms of what -- how default orders are doing year over year?
Dennis Gilmore: In terms of open default orders, our open default orders are down 32% year-over-year and are down 9% sequentially. 
Bose George – Keefe, Bruyette & Woods: And then in terms of personnel, are you anticipating any more cuts in the second quarter, do you think your guys are pretty much where you need to be?
Dennis Gilmore: Thanks for the question. Yes, we’ve been working hard at this now for the last three quarters, and I think we’re probably very close to what we need to be right now with our current order volume. So we feel very good about the current mix.
Bose George – Keefe, Bruyette & Woods: And then just a question on the commercial, the 19% increase in the commercial year-over-year this quarter, I mean is that a decent run rate for future quarters or is there something in that 1Q ‘13 number that came [ph] lower than usual? 
Dennis Gilmore: Again, we had a very strong commercial quarter, we’re up actually 25%. But I do think it's a little – we won’t see those kind of growth rates the rest of the year. That was off of weak seasonal first quarter in 2013. So what we think is going to happen in commercial would be a strong performance for the rest of the year but not at those type of growth rates. 
Operator: Thank you. Eric Beardsley from Goldman Sachs, your line is open.
Eric Beardsley – Goldman Sachs: Just to follow up on the commercial, what property types in geographies, are you guys seeing the most strength and give a sense of where your market share in commercial is right now?
Mark Seaton : Let me break it down. First, we are seeing actually strength across almost all markets and all product types. So it’s still very broad-based. We think that strength will continue throughout ’14 again but I do not think we will see the growth rates on a sequential basis that we saw on the first quarter. We continue to play very well in the space and from a market share perspective, little hard to nail down exactly but we carry a very, very nice share here in the space.
Eric Beardsley – Goldman Sachs: How are you thinking about exactly, is it – relative to the book value, share price, or are you looking out at potential acquisitions over the rest of the year?
Dennis Gilmore: I am sorry, can you repeat the question again. We had a little [static on our thing]. 
Eric Beardsley – Goldman Sachs: Sure. I was just curious how you are thinking about using the share repurchase authorization in terms of the timing, I know you said you’re thinking about it opportunistically. But just curious opportunistically relative to what benchmarks whether it's book value, the share price or if you’re thinking about some acquisitions down the line?
Dennis Gilmore: Specifically, the share purchase, really no change to our plans. We’re going to continue to be very supportive of share authorization and the share buybacks, it will be a key part of our strategy as it has been in the past. But specifically it will be up, just [ph] using our share repurchase in the future. So we’ll balance it against all our other needs for capital.
Operator: Ryan Burns from Janney, your line is open.
Ryan Burns – Janney Capital Markets: Just had a question on kind of the restacking of the subsidiaries. Just want to see how far along in that process you guys are and do you see if there is any more potential synergies or more capital to treat up from the process?
Mark Seaton : Hi, this is Mark. We’re substantially completely with it. It’s something that we started about two years ago and we moved several of our cash flow subs from underneath our primary regulated insurance company, which is First American Title Insurance Company underneath the holding company. So we have a couple more subs that we've identified here in 2014. We expect to move by the end of the year but by the end of 2014 we will be finished with it.
Ryan Burns – Janney Capital Markets: And with the process this year, does that create any more I guess synergies as well, or [indiscernible] free up capital at all?
Mark Seaton : It does free up cash flows to the holding company but I would say most of the work has already been done and the dividend that we said earlier in the first quarter assumed that – took the actions that we expected to take for the rest of 2014 and the continuation. 
Ryan Burns – Janney Capital Markets: And then quickly just you mentioned that there is a little bit of headcount reduction in the quarter. Just wanted to figure out what kind of annualized cost save that 500 represents?
Mark Seaton : Yeah, it’s somewhere between $3 million to $4 million annualized. 
Operator: Thank you. Brett Huff from Stephens, your line is open.
Brett Huff - Stephens: A question on – can you just repeat what you said on the April orders, I apologize to make you that but I couldn’t write fast enough. Could you just give us that info again, I think it’s something that a lot of folks are looking for and I want to make sure I had that right.
Dennis Gilmore: Sure, I will go with that. If orders month to date are flat right now of our last year on our repurchase – specifically our purchase orders are flat from minus here. But here’s how we are looking at it, flat from last year but we’re really just now entering the spring cycle. And we think that will go well through May, June, potentially into July. So sitting here today, we are looking for some growth in our purchase business and as I mentioned on the script, most of that growth we’re looking from price, not volume. And we are optimistic as we enter the spring cycle right now.
Brett Huff – Stephens: And is that purchase number, is that open or closed orders that is year to date flat or both?
Dennis Gilmore: It’s open.
Brett Huff – Stephens: Have you all – how is the new acquisition integration going as planned? Are there some upside surprises that you all have seen from the recent acquisitions you all did?
Dennis Gilmore: Sure. Well, first of all, we closed the transaction mid-March and the integration is on contract going very well and customer response has been very strong. And I do definitely think we will have some positive strides on the upside on the revenue side. 
Brett Huff – Stephens: And then last question from me is, I know that you’ve just sort of looked – I think you're looking still maybe at some – you’d like to build some valuation scale, I think what you said in the last call if I'm remembering correctly, is that still the case, is that – would that be the place where we would expect to see M&A, if M&A does happen?
Dennis Gilmore: Thanks for the question. It’s pretty straightforward. And we’ve been very consistent here. We’re going to continue to source our tuck-in acquisitions for the title and settlement base where we think we have some opportunities to grow share. Then we’re going to continue to look to build out our lender product offerings, specifically around our loan quality assurance offerings. And specifically to the question you are asking, we do have some gaps in our valuation solutions, and we are looking to fill those gaps. But at the end of the day, we’re going to be very disciplined like we have been and we will only put our capital if we’re going to get the right returns on the capital.
Operator: Jayaram Kimble [ph] from Barclays, your line is open.
Unidentified Analyst: Just noticed, the ratio of closed to opened was pretty low this past quarter, trending well below kind of where you were historically. Was that partially due to like the winter weather effect and would you expect that to be pulled through and maybe get a 2Q closed ratio that’s higher than normalized?
Mark Seaton : Yes, Q1 was a little bit lower than what we’ve seen just because of the mix in the orders. But typically Q1 is always a seasonally low quarter in terms of closing ratio. And usually when we move on to the year Q2, Q3, Q4, the closing ratio will rise and we don't expect any change to that this year. So it should come up in future quarters. 
Unidentified Analyst: And then just a quick follow up to that is, some of those delayed orders of closing in 1Q get pulled into the 2Q. Did you already book those expenses on those orders that may not have closed in the first quarter? So would there maybe be an incremental expense benefit as we head to the next quarter?
Mark Seaton : Some of the expenses associated with those orders are booked in the first quarter, like salary and personnel costs. There’s others expenses that we don't incur until the orders actually close, like commission cost for example. So I would say it’s a mix, some was in Q1, some would be in Q2.